Operator: Ladies and gentlemen, thank you for standing by. Welcome to the SBA 2016 Fourth Quarter Results Conference Call. At this time, all participants will be in a listen-only or muted mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. [Operator Instructions] As a reminder, the conference is being recorded. I’ll now turn the meeting over to our host, Vice President of Finance, Mark DeRussy. Please go ahead, sir.
Mark DeRussy: Thank you. Good evening everyone, and thank you for joining us for SBA’s fourth quarter 2016 earnings conference call. Here with me today are Jeff Stoops, our President and Chief Executive Officer; and Brendan Cavanagh, our Chief Financial Officer. Some of the information we will discuss on this call is forward-looking, including but not limited to any guidance for 2017 and beyond. These forward-looking statements may be affected by the risks and uncertainties in our business. Everything we say here today is qualified in its entirety and uncertainties – and by cautionary statements and risk factors set forth in today's press release and our SCC filings, which documents are publicly available. These factors and others have affected historical results, may affect future results and may cause future results to differ materially from those expressed in any forward-looking statements we may make. Our statements are as of today, February 27, and we have no obligation to update any forward-looking statements we may make. Our comments will include non-GAAP financial measures as defined in Regulation G and other key operating metrics. The reconciliation of these non-GAAP financial measures to their most directly comparable GAAP financial measures and the other information required by Regulation G can be found in our supplemental financial data package. In addition to the Regulation G information, this package also contains other current and historic financial data. This is located on our Investor Relations landing page at www.ir.sbasite.com. With that, I will now turn the call over to Brendan.
Brendan Cavanagh: Thank you, Mark. Good evening. The company has finished the year with another strong financial performance. We were in the upper half of our guidance ranges for site leasing revenue, tower cash flow, adjusted EBITDA and AFFO even with negative impact from unfavorable moves in foreign currency as compared to the assumed rates we used when setting guidance. Our solid performance was primarily driven by operational outperformance on the leasing side of our business. Total GAAP site leasing revenues for the fourth quarter were $393.6 million and cash site leasing revenues were $386.9 million. Weaker than expected foreign exchange rates negatively impacted leasing revenue by approximately $800,000 relative to guidance. Operational leasing activity during the quarter was as expected and in line with activity levels seen throughout 2016. Same tower recurring cash leasing revenue growth for the fourth quarter was 4.8% over the fourth quarter of 2015. On a gross basis, the same tower growth was 7.5%. The net same tower growth calculation was negatively impacted by 2.7% of churn. Domestic same tower recurring cash leasing revenue growth over the fourth quarter of last year was 7% on a gross basis, and 4% on a net basis, excluding 3% churn over two thirds of which was related to Metro, Leap and Clearwire decommissioning. Internationally, on a constant currency basis, gross same tower cash leasing revenue growth was 11.6%. Exclusive of 40 basis points of churn, most of which was from one narrow band customer in Canada. Gross organic growth in Brazil was 11.5%. As mentioned, operational leasing activity in the quarter remained steady and as expected. Approximately 70% of incremental domestic leasing revenue added came from amendment and the big four carriers represented 88% of total incremental domestic leasing revenue added during the quarter. International leasing activity was up sequentially over the third quarter with solid contributions from all of our markets. During the fourth quarter cash site leasing revenues denominated in currencies other than U.S. dollars was 12.2% of total cast light leasing revenue. The substantial majority of which was from Brazil with Brazil representing 11.5% of all cash site leasing revenues during the quarter and 7.9% of cast site leasing revenue excluding revenues from path through expenses. With regard to our fourth quarter churn, we saw a sequential increase over Q3 and the amount of churn from leases with Metro, Leap and Clearwire, which we expect to see continue into early 2017. As of December 31, we have approximately $38 million of annual recurring run rate revenue or approximately 2.4% of current total leasing revenue from leases with Metro, Leap and Clearwire that we ultimately expect to turn off over the next three years. That's down from $50 million a quarter ago as a result of fourth quarter churn. Based on termination requests received to date, we anticipate the impact of consolidation churn from these customers to be its greatest in the first half of 2017. We expect domestic same tower churn rates in the mid 3% range in the first quarter of 2017, but we expect that rate to be in the mid 2% range by the end of the year. And by the end of 2019, we expect that our domestic churn rate will be back in a 1% to 1.5% range consistent with the level of non-consolidation churn we've experienced throughout our history. Regardless of the timing, the total amount of this consolidation churn continues to be as expected and is not anticipated to impact our long-term goal of producing $10 or more of AFFO per share in 2020. Tower cash flow for the fourth quarter was $308.4 million. Weaker than expected foreign exchange rates negatively impacted tower cash flow by approximately $0.5 million relative to guide. The outperformance in tower cash flow relative to guidance came primarily from successful efforts around controlling the direct costs associated with our tower. The quality of our assets in our lease agreements and our excellence in execution allow us to continue to have the strongest operating margins in the industry. Domestic tower cash flow margin was 82% in the quarter and international tower cash flow margin was 68.7%. Adjusted EBITDA in the fourth quarter was $287 million. Foreign exchange rates negatively impacted adjusted EBITDA by approximately $0.4 million relative to guidance. The solid adjusted EBITDA results in the quarter were a result of the outperformance in tower cash flow. Adjusted EBITDA margin was 70% in the quarter compared to 69.1% in the year earlier period. Approximately 99% of our total adjusted EBITDA was attributable to our tower leasing business in the fourth quarter. AFFO in the fourth quarter was $201.3 million which amount was negatively impacted by approximately $0.5 million relative to guidance due to foreign exchange rates weaker than anticipated. Our industry leading AFFO per share increased 14% to $1.63. Excluding the positive year-over-year impact of changes in foreign currency exchange rates, AFFO per share increased 11.9% over the year earlier period. When further adjusted to exclude the year-over-year decline of $7.2 million in services margin, AFFO per share increased 16.1% on a constant currency basis over the year earlier period adding to our confidence in achieving $10 or more of AFFO per share in 2020. We continue to selectively deploy capital towards portfolio growth. In the fourth quarter, we acquired 215 communication sites for $73.5 million in cash. We also built 118 sites during the fourth quarter, moving our total site count to over 26,000. These additional sites are located in both domestic and international markets. We continue to invest in the land under our sites as this is both strategically beneficial and almost always immediately accretive. During the quarter, we spent an aggregate of $20.2 million to buy land and easements and to extend ground lease terms. At the end of the quarter, we owned or controlled for more than 20 years, the land underneath approximately 72% of our towers and the average remaining life under our ground leases including renewal options under our control is approximately 33 years. Looking forward, our earnings press release includes our initial outlook for full year 2017. Our initial guidance assumes continued steady operational leasing activity on a contracted cast revenue added per tower basis in each of our markets as well as similar levels of services business to that which we experienced in 2016. The outlook does not assume any impact from potential acquisitions not under contract as of today and it does not assume any impact from new financings or repurchases of the company's stock other than those that have been completed as of today. We have assumed a weakening FX environment in 2017 consistent with average forecasts of a number of large financial institutions and as disclosed in today’s earnings press release. Consistent with our intention to align our public communications with the long-term approach we take internally in managing the business, the company will no longer be providing guidance for quarterly results. We believe disproportionate focus on immaterial quarterly variances takes away from the steady stable long-term returns the company will produce by achieving our goal of $10 or more of AFFO per share by 2020. However in order to provide incremental details around our full-year outlook as well as selective historical information, we have added a number of new slides to our supplemental financial data package that I encourage you to review. These slides include both historical and forward-looking information including a bridge from our 2016 site leasing revenue to the midpoint of our 2017 site leasing revenue guidance and a detailed portion of our 2016 site leasing revenue that represents the core recurring cash leasing revenue from our base leasing business. This core recurring cash leasing revenue is the base upon which we calculate our same tower leasing revenue growth. The new slide also includes historical same tower year-over-year growth rates and churn rates for the last two years. The historical churn disclosure reflects the steady level of regular non-Metro, Leap and Clearwire churn over the last couple of years as well as the recent increase in the consolidation churn from these customers. Finally, we provided a breakdown of our historical capital allocation, which demonstrates our consistent approach to maintaining target leverage levels and fully investing in our business primarily through either acquisitions or stock repurchases. Including a significant share repurchases we completed during the fourth quarter of 2016 taking advantage of buying our stock at historically low valuations. We continue to believe our approach to balance sheet structure and wide capital allocation has created material value throughout our history. With that I will turn things over to Mark, who will provide an update on our liquidity position and balance sheet.
Mark DeRussy: Thanks, Brendan. SBA ended the quarter with $8.7 billion of net debt, and our net debt to annualized adjusted EBITDA leverage ratio was 7.6 times, just above our targeted range of 7 to 7.5 times. Our fourth quarter net cash interest coverage ratio of adjusted EBITDA to net cash interest expense was improved in very strong 3.8 times. We ended the quarter with $390 million outstanding under our $1 billion revolver, and we have $295 million outstanding as of today. At quarter-end, the weighted average coupon of our outstanding debt was 3.5% and our weighted average maturity was approximately 4.5 years. On January 20th, we entered into an amendment to reprice both of our outstanding senior secured term loans from LIBOR plus 250 basis points with a LIBOR floor of 75 basis points to the new pricing of LIBOR plus 225 basis points with a zero LIBOR floor. This pricing was done at par and will reduce our 2017 net cash interest expense by approximately $4.9 million. During the quarter and subsequent to quarter-end, we cumulatively spent $347.7 million to repurchase 3.4 million shares of common stock at an average price per share of $103.08, reducing our outstanding share count by 2.7%. On January 12, 2017 after these repurchases, our Board of Directors approved the authorization of a new $1 billion stock repurchase plan replacing the prior plan, which had a remaining authorization of $150 million. The new plan authorizes the company to repurchase outstanding common stock from time to time at management's discretion and has no time deadline. The full $1 billion is currently available under the new plan. Quarter end shares were $121.0 million down from 125.7 million shares a year earlier. We’re very pleased with our capital structure and believe that maximizes our ability to drive growth in AFFO per share. As demonstrated by our recent repricing transaction, SBA continues to be a preferred issuer in the debt markets. With that I'll now turn the call over to Jeff.
Jeff Stoops: Thanks, Mark, and good evening everyone. As you heard from Brendan earlier, we had another solid quarter. We continued to see steady demand in our site leasing business both domestically and internationally and we continue to operate our towers with a level of efficiency that has produced industry leading tower cash flow and adjusted EBITDA margins. We produced 14% year-over-year growth in AFFO per share positively contributing to achieving our goal of at least $10 of AFFO per share by 2020. Our strong growth in AFFO per share was favorably impacted and will continue to be impacted by solid organic leasing growth, sound capital allocation and optimal management of our capital structure. During the quarter, we allocated capital to both portfolio growth and stock repurchases. We materially impacted our outstanding share count last year by buying in 4.3% of our outstanding shares most of which was in the fourth quarter. For the year, we returned $550 million to our shareholders in the form of stock repurchases. We were able to reduce our weighted average cost of debt through our refinancings completed in the third quarter and the successful repricing of our existing term loans in January. All of which demonstrate SBA’s very positive position and reputation as an issuer in the debt capital markets. Our success in these areas helped us to produce the highest AFFO per share in the industry and AFFO per share growth will remain a key focus for us going forward. In the U.S., operational customer activity measured as the amount of newly contracted cash revenue per tower remained steady with the majority of new business coming in the form of amendments, which we expect to continue to be the case throughout 2017. Organic leasing activity in 2016 was primarily from the refarming of 2G and 3G spectrum to LTE as well as some AWS-1 and 700 megahertz deployments. Our initial 2017 guidance contemplates the same level of gross leasing activity as we experienced in 2016 at least for now. Our backlogs are pretty healthy and we do have a number of opportunities for additional growth this year and over the next few years. These opportunities include the increased deployment of new spectrum bands such as AWS-3, WCS and 2.5 gigahertz and even longer-term 600 megahertz. At some point, we will also see the deployment of Dish spectrum as well as the commencement of the FirstNet rollout. All of these deployments will require new equipment to be installed at existing and possibly new macro sites supporting steady organic growth for years to come. In addition, potential regulatory changes such as a rollback of net neutrality and corporate tax reform would positively impact our customers improving their net cash flow and therefore their ability to materially further invest in their wireless networks. Such an environment would be positive for us and would further support steady continued growth of our revenue base. Internationally, we had our best quarter all year in terms of operational leasing activity. This activity was approximately 63% from new leases and 37% from amendments in the fourth quarter. We had strong contributions from all of our markets and Brazil continues to see steady results. Oi remains current with their post-petition rental payments and continues to work towards a judicial reorganization. As indicated in the past, we remain actively engaged in the process and anticipate more clarity in the next several months as always submit to its new reorganization plan. We continue to expect all of our Oi leases to be reaffirmed. During the fourth quarter, we continue to grow our portfolio throughout all of our markets including acquisitions in the U.S., Brazil and Chile. We intend to continue to grow both domestically and internationally with continued primary focus on the western hemisphere, but remaining open to opportunities worldwide. We believe a number of attractive opportunities to add assets remain throughout the Western Hemisphere and we are fully engaged in identifying those opportunities that will provide the strongest return on invested capital. We produced a significant amount of free cash flow every year and we have open access to the debt markets. We intend to stay fully invested within our target leverage range at 7.0 to 7.5 times adjusted EBITDA. When we are not able to identify asset opportunities that meet our return requirements in order to fully utilize our available investment capacity, we will continue to supplement our portfolio investments with opportunistic share repurchases. Staying fully invested should give us good opportunities to increase our AFFO per share guidance throughout the year. Our progression toward electing REIT status continues to be on track. In January, we completed the merger of SBA Communications Corporation into a wholly owned subsidiary in order to facilitate our compliance with certain REIT rules. This merger allowed us to adopt certain charter provisions that implement standard REIT ownership limitations and transfer restrictions related to our stock. Our only remaining step now is to formally elect REIT status when we file our 2016 tax return. Because we have been functionally operating as a REIT since prior to 2016, we expect our election to be nothing more than a formality with the operations of the company continuing as business as usual. We currently intend to use our net operating loss carry-forward positions for tax purposes to eliminate any distribution requirements, which we currently expect will be the case at least through the end of 2020. As a result at this time, we are not planning on any changes to our capital allocation strategy. SBA continues to be a very special company. We produced the highest AFFO per share in the industry, almost all of which is from cash revenues from the leasing of macro site towers. We have the highest quality assets, very carefully put together over two decades. We also operate the most efficiently as demonstrated by our industry leading operating margins. Our strategic vision remains the same, maximize organic revenue growth, minimize expenses, pursue attractive portfolio growth and keep the balance sheet optimized. Looking ahead, new spectrum deployments, the rise of mobile video and the push towards 5G will continue to drive organic growth. And when opportunities arise, we will have the liquidity and financial flexibility to grow our portfolio and buyback our stock. All of these factors give us tremendous optimism about the long-term future of SBA including our ability to achieve our goal of $10 or more of AFFO per share by 2020. We appreciate the contributions of our employees and our customers during 2016 and we look forward to a successful 2017. And with that Laurie, we’re now ready for questions.
Operator: [Operator Instructions] And our first question from Rick Prentiss with Raymond James. Please go ahead.
Rick Prentiss: Thanks. Good afternoon guys.
Jeff Stoops: Hey, Rick.
Rick Prentiss: Hey, two if I could. First I appreciate the information on the stock buyback, the new authorization. How should we compare fourth quarter where you did a lot of buybacks with I guess the first two months of first quarter where you haven't done a lot? How should we think about the pacing then of that buyback as you look at leverage and refinancings and also acquisitions?
Jeff Stoops: Yeah, I mean we obviously haven't done anything in the first two months or we would have told you about it that was largely a function of where we ended the year at 7.6 times. We'll go a little higher than that maybe for the right opportunities, which we did I think once or twice last year, but the 7.5, 7.6 quarter ending leverage is really where we're targeting to be during this period of time. So, obviously, we didn't do any in the first two months, but you certainly ought not to take that as an indication of where the rest of the year is going to go particularly when you kind of model in our stated goals of keeping the balance sheet leveraged at 7 to 7.5 times looking out our EBITDA guidance and what our availability of capital will be.
Rick Prentiss: Second question, we take a look at that supplement that Brendan was talking about and obviously a lot of really good stuff in there; had a question if I could on maybe some of the details there. You talked about the recurring cash leasing revenue. And should we use those numbers to look at what the percent growth is for new leasing activity in escalators and churn is that what you're suggesting?
Brendan Cavanagh: Yes, yes. And that that is also you should reckon that is consistent with how we've done it throughout our history. So part of the goal here was to provide a little more of the detail behind those same tower growth calculations. So now you can take the leasing activity, the escalations and even the churn and you have to abate on which those percentages are calculated.
Rick Prentiss: And then on that quarter recurring cash leasing number, there are a couple items in there that you're calling out: one managed and non-macro business and other miscellaneous items. And there was obviously some downward drafts in 2016 from your book revenue to your core cash. Can you just help us to understand what’s in those managed and non-macro and other miscellaneous items?
Brendan Cavanagh: Yeah. So the summary they're all down draft because they're all items that make up total revenue, but we exclude from core recurring cash leasing revenue. The managed and non-macro is almost entirely our managed rooftops and lease – sublease business that we've had for many, many years. We have about 500 or so revenue producing rooftops that we managed that’s the majority of that particular item. The other miscellaneous items is kind of a mix of a variety of things includes cash basis revenues out of period revenues where we maybe get paid for something and recognize it in, in a particular period, but it relates to six months or something. So it's not really representative of that quarter's revenue terminations fees other miscellaneous fees that we might collect from tenant is that kind of stuff. And that can vary up or down a little bit in any given period. So we feel that it's appropriate to exclude that because it's not really representative of a recurring type item at least on those particular sites.
Rick Prentiss: And that's also why you've done the amortization of the capital contribution what we call augmentation reimbursements also being pulled out.
Brendan Cavanagh: Yes that's being removed because although we do get paid that money, these are all real revenue items, but because it's more of a one-time event that doesn't recur we remove it just like the miscellaneous items in order to give you a true view on what the organic growth rates look like.
Rick Prentiss: In 2017 guys assume somewhat of 2016 growth so whether your peers said they expect to see a pick up and they've seen a pick up in apps. You guys are not putting that into your guidance yet.
Brendan Cavanagh: We're not including that in guidance.
Rick Prentiss: Very good thanks. Thanks guys.
Operator: Then we will go to Jonathan Schildkraut with Guggenheim. Your line is open.
Jonathan Schildkraut: Great a couple questions if I may. First you guys definitely took a conservative stance on the FX side. I was wondering if you might give us a little color as to what the outlook might look like or what might add to the outlook rather if we were to assume sort of spot rates? And then the second question I had was – I was wondering if we could get some perspective from your perch as to what some of the potential catalysts might look like as they ultimately rollout on to towers? And specifically I'd be interested in your views as to FirstNet and 5G and whether that at all changes your perspective on the portfolio of assets that you might want to own over the longer-term? Thanks.
Brendan Cavanagh: John, on the FX question, your spot rate today is around 3.11 or so in Brazil that’s the bulk obviously of our FX impact. We've assumed an increasing rate throughout the year that average is 3.32. So the difference if we had the spot rate throughout the balance of the year would be approximately $12 million of revenue and somewhere around $7 million or so on the TCF and EBITDA lines.
Jonathan Schildkraut: Thank you.
Jeff Stoops: Yeah, Jonathan, this is Jeff. On the FirstNet, we continue to anticipate an early to no later than mid summer award, I believe the only reason it's being held up so far is there was a challenge to the process, which I do believe is working self-through. We believe they're going to want to go pretty quick at that point. And at this time while we haven't seen the final specs yet, we do believe that these specs will consist of adding lines and antennas that the existing rad center to whoever the partner is that gets picked for the project. And that will be sectorized, so you’re looking at three lines, three antennas type thing. There is still some talk out there that the deployment would come in the form of a separate rad center. While that would be better for us given the amount of tower capacity that would take, we're not putting any stock in that until we actually see what's coming out exactly. And regardless of what I just said in the timing, none of that is really in our guidance for 2017. In terms of 5G, there's obviously a lot of talk about that, and not a lot is known for sure. We've talked to a number of folks though both at the equipment side and at the customer side and there's not been anyone who thinks that the millimeter wave spectrum is going to be utilized outside the urban markets. So we believe that just like 4G which rolled out nationwide, 5G will be two and it will use the macro sites to do that probably with spectrum that may exist today. And certainly not exclusively the millimeter wave type spectrum that you may see used more exclusively in the urban markets. And we do know based on everything we've heard that to achieve the gains and quality speed latency and all the other things that 5G will bring that it will require new radios and new antennas even if existing spectrum is utilized. So that's what we believe today and we expect as time goes on to have more specificity around that.
Jonathan Schildkraut: Thanks for taking my questions.
Jeff Stoops: Sure.
Operator: We'll go to Mike McCormack with Jefferies. Please go ahead.
Mike McCormack: Yes, thanks. Maybe just a quick comment on what you're seeing out there as far as any impact on your growth with respect to small cell deployments whether or not there is overlap that you might be losing business with. And secondly maybe Jeff just a comment regarding the proliferation of over the top and unlimited data offerings. When do we think we can see sort of a pull through to create better growth in the U.S.?
Jeff Stoops: So I think you're going to start seeing increased network stress. I don't think anybody would or could argue otherwise with that. I mean one of the things that will happen with the unlimited plans is people will be less inclined to even think about transitioning over to WiFi when its available. So you have a lot of – you have a lot more spectrum or a lot more capacity run through the cellular networks. Now as it has always been in our industry, Mike, the question will be where do our customers want to invest the money and how much money do they have to invest. I don't think there's ever been any issue about the operational needs for continued network investment, but they run businesses as we do and you know you have to justify the investment. That's really the bigger issue in my opinion as opposed to will the operational needs be there, which we think are absolutely clear. So on the small cell side, there's – we've seen absolutely no overlap in our business from a negative way. We actually have leased out some small cell spaces on our towers at the 60-ish foot level, which is not an area that we've typically used all that is great. So, operationally, we've seen no overlap and no cannibalization. But again you may have issues where carriers depending on the area. We'll deploy more money in one area for small cell and more money for macro in a non-urban market. But keep in mind we've never really been an urban company. So the architecture is not changing where we are. And we’ve not seen any indication that our customers are bringing products and speeds to urban markets that they're not eventually going to bring nationwide.
Mike McCormack: Okay, great. Thank you.
Operator: We'll go to David Barden with Bank of America/Merrill Lynch. Please go ahead.
Josh Frantz: Hi, guys. It’s Josh Frantz in for Dave. Thanks for taking the questions. I appreciate the comments on the churn. I wonder if you could talk about kind of the escalators amendments in churn and the shape of that on the international side for the year and kind of going forward that would be helpful. Thanks.
Jeff Stoops: Sure, yeah, so actually if you look at one of the new slides that we included, which is the first slide in the supplemental deck that we've posted on our website, its a bridge of our 2016 leasing revenue to the midpoint of our 2017 guidance, but we've broken it down into not just consolidated numbers, but also domestic and international. And so if you look at the International, there you'll see the contributions that are being made or that we assume will be made in our guidance from each of those categories in new leasing activity: the escalators and the churn. And I think if you look at that you'll see that the escalator pieces is the bigger component driving the growth that's roughly 6.5% on a same tower basis off of that core base of revenue. And a lot of that is carried by Brazil and the fact that inflationary rates drive escalators. The churn is basically almost nothing. We show about $1 million year-over-year down and that's really a vestige of some smaller items, but really there's no churn to speak of. So we expect to continue to see pretty steady activity there. The leasing activity from an operational lease up standpoint in the fourth quarter internationally was very strong. It was stronger than our third quarter, so we've seen some steady improvement. And we expect to have a fairly steady year year-over-year for 2017 over 2016 from that standpoint.
Josh Frantz: Great and any anything into the next few years that we should be aware of on that same kind of topic?
Jeff Stoops: Not internationally. I mean domestically you're going to see a big drop off in the Metro, Leap and Clearwire churn as we move through the year, but we think we've talked about that quite a bit.
Josh Frantz: Okay. Thanks guys. I appreciate it.
Operator: And we will go to Colby Synesael with Cowen and Company. Please go ahead.
Colby Synesael: Great, just to follow up on that question. What was comparable to that 6.5% international escalator that you’re expecting in 2017 as when we look at 2016? And then also you in the past talked about portfolio growth in recent years, 5% to 10% I think in 2016 is closer to maybe 4%. Any color on expectations for 2017 including anticipated new builds? And then also I just wanted to ask one question Jeff. Just broadly speaking there's a lot of talk now about fixed wireless as part of 5G. AT&T and Verizon in particular doing trials, other companies whether it's a Google or [indiscernible] in Boston and so forth looking to get more involved in that as well. Is that a solution that could be built on top of a macro tower? Or do you think that that's going to require new special antennas or deployments to support that? Thank you.
Jeff Stoops: On the international elaters, there were about 8.5% for the prior year. We actually are seeing just as a little color on that. Obviously most of it's driven by Brazil. We have our escalators in Central America that are fixed escalators. So those typically averaged somewhere around 3%, those stays steady. And Brazil is where we're seeing the big decline and that's because obviously the CPR rate there has dropped dramatically, but we do have a floor on many of our leases with Oi that limits the drop to 6.5%. So it's really just a function of timing but somewhere around 8.5-ish percent was the previous number dropping down to about 6.5% for all of international. On the portfolio growth, Colby, we absolutely intend to continue our goal of 5% to 10% portfolio growth. We did not get in 2016 not for lack of opportunity, but for a lack of price, basically. We thought that what was out there was just not the right investment for us given particularly our ability to buy our stock back at what we saw is very undervalued prices. But it's the goal again and we think there will be again enough opportunities out there to certainly fill that on the number side and it will remain to be seen where we see relative price attractiveness. What are we including in guidance Brendan on the tower builds?
Brendan Cavanagh: We have about 450, most of those are international.
Jeff Stoops: And on your fixed wireless question, Colby, we absolutely can make use of towers provided they're in the right locations.
Colby Synesael: Being any of that, I mean, I know it's just that you’re seeing demos or trials at this point, but have you had any conversations with anyone that would suggest that they are intending to use macro that lease in some situations?
Jeff Stoops: Some conversations, yeah.
Colby Synesael: Great, thank you.
Operator: Thank you. Our next question from Jonathan Atkin with RBC Capital Markets.
Jonathan Atkin: Yes. So my question is on Brazil and international, what you seeing in that market in terms of the rand sharing. And then you may have alluded to it, but if you could just remind us what portion of your escalators are fixed versus CPI based internationally?
Jeff Stoops: You mean for the – for almost all of the non U.S. dollar denominated revenue was CPI based with some floors. In basically in South America, so we've got about 17% of our revenues come internationally roughly 5% are of those are in Central America and Canada, all of which have fixed escalators on the tenant leases. And then almost the rest of it is almost entirely Brazil, which is – and Ecuador which is CPI based.
Brendan Cavanagh: In general, Jonathan you should look at the – you should assume that the non-U.S. dollar denominated revenues are CPI based and the U.S. dollars – I mean that's within 1% of being right on the money. So in Brazil, yes there is some branch sharing. Nextel is looking to do some ranch sharing with Telefonica. And TIM and Oi have done some ranch sharing although it does not appear to be pervasive at this point.
Jonathan Atkin: And then looking at some of the non-western hemisphere growth that you alluded to would you be more interested in purchasing a platform that gives you a regional presence or would a single country investment be more in line with your thinking?
Brendan Cavanagh: We continue to operate the company as a leverage capital appreciation story and we want to growth the assets. So the answer to your question is really it depends. And we would do either one of those if we saw that the right growth opportunities would follow the purchase just as we did when we first went into Brazil with the Vivo transaction.
Jonathan Atkin: Thank you very much.
Operator: And we have a question from Matthew Heinz with Stifel. Please go ahead.
Matthew Heinz: Thanks. Good evening. So if I just look at the incremental cash revenues that you're guiding for being added to the sites, it looks like there's about $10.5 million decline on the domestic side and about $7 million decline on the international business. I appreciate the color you gave earlier around the escalations in Brazil, but could you just kind of break that down for us with that new disclosure? Where is it really more on the incremental leasing side where you think you are making in some conservatism? I guess just across those two segments where between Kolos amendments and escalations. What’s driving the drinking the year-over-year decrease in new revenue added?
Jeff Stoops: Just for clarification because we’re really forecasting pretty flat growth from a lease up standpoint on the leases and the escalators in terms of the activity that we've seen recently. If you're comparing this to full year 2016 to full year 2016, it is down a little bit because of a little bit higher organic growth that we experienced in the middle of 2015 that carried over an impact of the year-over-year growth. So if you're going back that far, it would certainly be a slight step down in the organic lease up, but the rate of growth that we’re assuming in terms of leasing activity and therefore the dollars added are pretty flat with what we’ve seen here recently over the last six months or four months – I’m sorry four quarters last year. So that’s to be relatively flat. The escalators on the international side though are definitely down from where they were because the Brazil escalation rates, the CPI rates, were substantially higher than they are today. So that piece is down. But otherwise, I think, it should be relatively flat.
Matthew Heinz: Okay, so maybe I see amortization of pre-paid rent that’s impacting that kind of [indiscernible] compare?
Brendan Cavanagh: Yes may be you are looking at the total numbers, certainly in that case if you look at the breakdowns that was what we were trying to show, I think, in the bridge as what the different components are that are contributing to our growth year-over-year. And you can see that there are certain items that are certain items that are stepping backwards, there’s non-cash item like straight-line revenue, but we’re also assuming a decrease in some of the other items, most of the other items that are stepping down are a reduction in the augmentation of the amortization – a reduction in the amortization of augmentation reimbursement is a big chunk of it. And then we’re also assuming a little bit less on some of those miscellaneous items that I discussed earlier like [indiscernible] and termination fees that kind of stuff.
Matthew Heinz: Okay, thanks. And then just one, quick one on capital allocation, if we just kind of look at your stock price today versus the opportunities you see out there in terms of M&A unbalanced would you say that you would prefer lean towards one or the other in terms of uses of capital at this point?
Brendan Cavanagh: I would say our goal would continue to be invested all in portfolio growth, but I suspect we will not and you will see additional stock repurchases this year.
Matthew Heinz: Okay, thank you.
Operator: And we’ll go to Nick Del Deo with MoffettNathanson, please go ahead.
Nick Del Deo: Hi thanks for taking my question. Jeff when you were answering the question about limited plans certainly you had noted that the, I hear those operational needs are limited and it’s really their financial hope that matters but you didn’t opine on the latter point. In your view are we anywhere close to the point where the venture halted a big four carriers is something we have to start thinking about when it comes to say about the growth outlook for the industry or is there still an adequate cushion there?
Jeff Stoops: No I think there’s an adequate cushion Nick, I think, you basically have lived through it these last two years. I mean we really don’t see under any likely circumstance reductions in levels of operational activity from where we were last year and then the last half of 2015. So I don’t, I mean, theoretically, yes somebody has to pay for all the operational needs in the network, but I don’t think we’re at a point where you really have to question whether that’s going to happen certainly to the degree that it’s been happening over the last six quarters. But we would like to see tax reform and net neutrality and whatever you can see that would bring, we’d like to ARPU go up for sure. I mean it does, I think, we have a good feeling where that money would go. we think it would go back into the network.
Nick Del Deo: Okay, all right, that’s helpful. May be one macro question, inflation to concern the investors at least were worrying about given the fixed nature of the escalators, if we did see inflation really start to pickup, how negotiable are your amendment in new site rates so they can add to the partial revenue adjustment response to that. And is there any other tool that you might to respond to inflation if it becomes an issue?
Jeff Stoops: Well our pricing structure is such that relatively every single lease and every single amendment that we do we have open and full pricing availability, so you would have that ability on any piece of new business to take into account inflation if you didn't think the escalator, need, ever if you thought it needed adjusting. Actually on that point and I think that's a good one which is why we think the escalators are appropriate where they are we may very well see a point in time where CPI, peoples [ph] perhaps slightly ahead of the escalator. So I think looking forward the escalators and not the fixed escalators in our industry look pretty reasonable. In terms of other things that we might do our expenses are pretty well fixed other than our SG&A and that’s such a low percentage of revenue that I don't think that's going to be a material issue. But it's really pretty much on the new leases and the new amendments where we would be able to address that.
Nick Del Deo: Okay, that's helpful. Thanks Jeff.
Operator: We’ll go to Walt Piecyk with BTIG. Please go ahead.
Walt Piecyk: Thanks. On Slide 4 of your presentation, that bridge that looks very nice. The $41 million, I think, that's probably slightly down from last year as far as the new leasing activity. Maybe it's flatter than but I think is [indiscernible] is down. Anyway American Tower just talking about that specific element of their growth being up 15% in 2017. So I'm just curious why they might be seeing that type of growth and you guys wouldn’t?
Brendan Cavanagh: Well I can't pick to what they've assumed our assumption is that things stay flat in terms of the leasing activity that we've had over the last year or so. That’s the driver of this number for us if we do have activity that goes beyond that and it starts to contribute to our financial results in time this year then this number will go up or if it doesn’t, if it stays flat, this will be, I think, about where it comes in.
Walt Piecyk: They were referencing, I mean they were specifically referencing like a change in the market in the past 30 days or so. I forgot the terms that they used, but they were pretty clear saying they all were seeing this new activity, they were talking about people with high band doing career aggregation. I don't know if they were referring to Sprint or whoever, but it's just are you just not seeing this because that they sound like it was pretty broad based as far as the activity level that they were saying.
Jeff Stoops: We thought when we said guidance Walt that we would just carry over existing activity levels and not produce anything above that until we actually booked it.
Walt Piecyk: Okay that's fair. And just one other question sorry to relate to American Tower, but they'd rather tough. Are you guys doing any testing on this 3.5? I think they're what they're referencing is there could be this new business model where the tower company becomes kind of like a wholesaler of traffic where you own the spectrum or at least use some of this 3.5 spectrum and at least second pass dedicate that spectrum whether it's in a building or small cells. Have you looked at the 3.5 or actually you thought about that as a way to maybe make money on this small cell enters that the carriers have?
Jeff Stoops: Yes we're evaluating it, we like the end building aspect better as we think it could be more exclusive. But we are taking a look.
Walt Piecyk: Got it. Thank you very much.
Operator: We’ll go to Phil Cusick with JP Morgan, please go ahead
Unidentified Analyst: Hi this Richard for Phil. Just wanted to follow-up, you said 70% of the business was amendments is that what you're expecting for this year and could we see a pickup in call allocation and get to a more normal fifty- fifty mix later this year.
Brendan Cavanagh: Richard we're expecting that it would be fairly consistent with what we've seen over the past year, so predominantly from amendment.
Jeff Stoops: Yes, I mean if you look at what's still out there to come, the AWS3, WC assets first now assuming that we see some of that to some of our revenue this year, it should sure that some of the operational activity. At this point we're seeing most of that in the four, believing most of that will come in the form of amendments.
Unidentified Analyst: Great, thank you.
Operator: We’ll go to Spencer Kurn with New Street Research. Please go ahead.
Spencer Kurn: Hey thanks for taking the question. Looks like your domestic gross organic growth fell about 60 basis points sequentially. Just wondering if you could talk about what was – what were the drivers of that?
Brendan Cavanagh: Circumstance yes. So we obviously have had steady operational leasing levels throughout 2016, which basically means we’re signing up or contracting for consistent amount of recurring cash leasing revenue per tower each quarter. But the growth rate is down really because of timing between executing these agreements and when the revenue starts to hit our income statement, as well the fact that this growth rate changes that are over the truck trailing twelve months. So in this case the decline in the reported revenue growth rate from Q3 to Q4 was due to higher operational lease up in Q2 and Q3 of 2015 and what we had for instance in Q2 and Q3 of 2016. So basically you have higher lease up in the middle of fifteen at your financial statements in the fourth quarter and 2015, so the growth from Q3 to Q4 2015 was higher than the growth from Q3 to Q4 2016. And so as you kind of roll forward an extra quarter and you drop off, what was actually a bigger growth quarter that’s the impact.
Spencer Kurn: Got it, thanks. And one more if I may. As I think of all the fellow spectrum traction they are nice they need to get deployed over the next several years, it makes sense that carriers might want to strike match release agreements to make their deployments easier. The last time MLAs were signed was about five years ago. And can you just talk about your general approach to MLAs and actually look back in the last five years that you think shaped your perspective on that?
Jeff Stoops: Yes the MLA that we did not do at that time we looked back with the feeling that we definitely made the right decision because the amount of costumer activity that ultimately happened was well beyond what was contemplated in the proposed MLAs. But having said that, we're very open to MLA's provided that they come with the right financial terms and conditions and that we have a reasonably matching view of the future as our customers do.
Spencer Kurn: Thanks for taking the question.
Operator: And we have a question from Mike Rollins with Citi. Please go ahead.
Mike Rollins: Question since you at the balance sheet leverage that you're looking to sustain over your plan over the next few years, how did that play into your ability to continue to buy assets and if there are certain assets that came available would you consider propping that leverage up these further. And if you look at the other side of the equation, if there's further M&A in the category, how do you perceive that might position you as a possible seller over time? Thanks.
Jeff Stoops: Well Mike we would take leverage up to a point where we could delever back within about a year, that's always how we've approached that. And I would also say while we haven't issued equity, I believe since one in 12 we did so then and I think it was to bring positive impact to our shareholders. So if we thought the deal was good enough, we would not be first to issuing equity. And on your second question we were on a public company for the benefit of our shareholders who create as much value for our shareholders as we can. We've done that for 20 years now or may be 18 years we think a great success as an independent company, we think we have a very good path to continue value creation in the $10 or more than broker share by 2020. But at the end of the day we have a fiduciary duty to maximize near-term and long-term value for our shareholders.
Mike Rollins: Thanks very much.
Operator: Thank you. I'll turn it back to our speakers for any closing remarks.
Jeff Stoops: We appreciate your time this evening and we look forward to reporting our 2017 results as we move through the year. Thank you.